Olof Svensson: Good morning, everyone, and welcome to the presentation of EQT's 2023 Year End Report. As always, if you've registered ahead of the call, you should have received an e-mail with your personal pin code to participate in the M&A. To make sure everyone has time to ask questions, we suggest you focus on the most important topics and as always, we're going to be available for follow-ups also after the call. And with that, let's kick it off. I'll hand it over to Christian.
Christian Sinding: EQT's journey through 2023, which was a somewhat volatile year marked by strategic growth, but also lots of new initiatives. First, EQT solidified its globally leading position in active ownership strategies with the full integration of BPEA in Asia. We delivered on our strategic objective to open new distribution channels offering access to our investment strategies for individual investors. And importantly, we invested with confidence into what we think is a quite attractive market to invest in. In fact almost half of our investments related to infrastructure last year making it the most active investment year ever for our Infra franchise. 2023 was a year when performance, distribution track record and ability to generate value from operational improvements were more critical to our clients than ever before. In this softer market, we made good fundraising progress. EQT X will reach its hard cap in February and we expect EQT Infrastructure VI to reach its target during 2024. Overall, we grew our management fees by almost 50% last year and our total AUM is now above $250 billion. Having said this, we did hold back on exits in 2023 in preparation for more benign markets and as a result, as you've seen, we've also had lower carried interest last year. Finally, seeing the benefits of our scale, we kept headcount largely flat while selectively adding talent in core growth areas. And all in all, we are I think very well positioned for the future and what you see is a growing and consolidating market in private markets. Next page, please. So this year, EQT is turning 30 years old and as we look back, EQT and our industry has changed profoundly over the past 3 decades. Private equity in its early days was about efficient capital structures, taking risks and finding value plays. And actually only a decade ago, companies went public to get access to capital. Today, a large share of value creation takes place in private markets with companies staying private for longer, at least 3 years longer actually, and volumes of IPOs are down more than 50% since before the financial crisis. There are now far more actually private equity-owned companies in the United States than there are public ones. So what does this mean for EQT? We have strategies that can support companies from early stage to proven businesses that need scaling to true global leaders. All these strategies are supported by EQT's deep sector expertise, industrial advisers and world-class capabilities in areas such as digitalization, AI and sustainability. What we're doing is really transforming companies and industries and we address fundamental challenges and opportunities of our time such as the decarbonization of society, the aging population and the exponential digitalization of the world. And we're continuously striving to improve to be the best possible owner of companies and assets. In fact we like to say we've been forward thinking from the start and that's why I think and I'm confident that we're primed to keep winning as EQT enters its next decade, our fourth decade. Next page, please. In 2023, we navigated a challenging market with private equity deal volumes down 40% year-over-year actually while EQT's investment volume actually increased by 60%. My reflection on that is I would say that our ability to source and execute deals across the world is truly world-class. We're really combining thematic investing and being local with locals in every single country to create a unique sourcing machine. And looking into 2024, there are reasons to be constructive and we do expect activity levels across the market to pick up. Interest rates have likely peaked. All sources of financing are again available. The IPO market is open, maybe not fully open, but open and opening. And we will eventually see private equity managers having to start realizing assets as their funds mature. Of course 2023 is not going to be without challenges: inflation could turn out to be more sticky than we think; central banks may lower rates only gradually as we're seeing in the news today; global conflicts may also spread, which of course beyond the human implications could elevate uncertainty and also add to inflationary pressure. Also 2024 is an important election year with multiple geopolitical scenarios and possible effects on global trade. So we're prepared to navigate an uncertain year, but we're prepared to execute well. Our realization volumes were relatively low in 2023 and this of course was partly due to the very active year we had in 2021, but also due to the marketplace. Fortunately, we have a quite young portfolio and we're preparing exits in various forms for 2024, including IPOs, recaps, partial sales and hopefully even some form of private IPOs that I've been talking about. But our focus will of course continue to be on performance in the companies. And over time I'm thus confident that we'll continue to deliver top quartile returns and DPI, which is the cash returns to our investors over time. Next page, please. 2023 was a landmark year for us in terms of innovation. We opened up new distribution channels providing access for individuals to invest in private markets through what we call semi-liquid products. And last week, we kicked started Healthcare Growth, a buyout strategy focused on scaling innovative fast-growing health care companies. And in fact EQT has invested over €23 billion in more than 200 health care companies to date. So with this new strategy, we add another piece of the puzzle so we can support health care companies in every stage of their development from early stage through growth to the long term. And we do the same thing, as you know, in technology. In Asia, we introduced the BPEA Mid-Market Growth fund where the team has already made 4 investments and we broke through the hard cap. And we continue to lean into future proofing with AI, sustainability and climate. So EQT's Motherbrain platform now allows deal teams across business lines to leverage collective insights across the world and we actually manage our deal flow now in Motherbrain. And our experimental team, Motherbrain Labs, develop tools to help our portfolio companies find unique add-ons, unique technologies and also talent in fact. So as a further testimony to our leadership in digital actually, we were interestingly awarded the first ever patent in private markets on automation and AI. Now on sustainability, we're working to really sharpen our pencil and drive growth in revenues from sustainable products and sustainable services across our investments to really make our companies more sustainable, more resilient and of course also thus more valuable over the long term. And I would like to say the time of financial engineering is over. Now it's really about fundamentally improving companies and assets. And we've also sharpened our best of best value creation methodologies by subsector across the world. And doing all these things, really doing what EQT has been all about since day 1, is being the best possible owner and developer of companies and buildings. Next slide, please. So our clients are now assessing more and more each manager on their ability to generate returns over time across cycles and of course into the future. So those firms with consistent performance, proven ability to return capital and the scale, resources and insights to be ahead of the curve are going to continue to gain market share. And that differentiation is becoming increasingly evident and we see the larger share of commitments coming to larger funds at the expense of smaller funds or those funds without and firms without a real sharp edge. And this slide is kind of interesting because it shows the historical performance versus the growth in fund size for a group of large private equity funds now in the current vintage. And as you'll see, those with high performance are growing and those with a weaker performance are actually shrinking. So this is one of the first proof points in the larger market where performance really, really matters. And that's, as you know, at the core of our mission. So EQT X is growing almost 40% compared to its predecessor fund and I think that's a great testimony from our clients and we're also very thankful for it. Next slide, please. As we look forward, our focus is on 4 key priorities all centered around our fundamental philosophy of active ownership. So first, performance and exits. Selectively, we're going to continue to invest in companies and assets supported by these long-term secular growth trends and as markets continue to stabilize, we will also gradually increase exit activity. Second, we'll continue to develop our investment strategies primarily organically, but also through M&A. The Healthcare Growth strategy and BPEA Mid-Market Growth Asia are two recent examples and we're creating strategies which build on our leadership and energy transition within infrastructure and actually this is truly one of the biggest investment opportunities of our lifetime. And I think we've all seen the sharpened interest in infra here over the past weeks and months and we have a super strong franchise I guess that we'll talk about. And having done a number of combinations and add-ons within EQT, we now have a real playbook on how to integrate firms together with EQT, but we do remain highly selective. Third, we're continuously developing our client relationships; being adding new clients, offering more strategies to existing clients, improving our service level, our digital approach and everything and also opening of new segments as we've done by helping individual investors access our strategies in private wealth. Fourth, we're continuously developing our platform while driving efficiencies, allowing for us to have scalable growth as you also saw there in 2023. So those words, I'll pass the stage to Gustav, who will now delve into infrastructure, Asia and fundraising. Next slide, please.
Gustav Segerberg: Great. Thank you, Chris. So starting off with infrastructure. Over the last 15 years, EQT has built a top performing infrastructure franchise and today we're Top 3 in value-add Infra globally. We expect infrastructure to continue to benefit from strong growth driven by multiple factors, including that private markets is playing a critical role as public finances are constrained. Furthermore, EQT is playing a key role in the digitalization of societies through fiber and data center investments as well as driving the energy transition across the industry, most notably in transportation. We've seen a number of strategic transaction in infrastructure over the last 6 months much on the back on healthy appetite among clients to invest more in the asset class driven by resilient returns, downside protection and low inflation risk nature of the asset class. In this context, we are very well positioned to continue to take market share by growing our global flagship fund, scaling within the core space and we're also, as Chris mentioned, preparing for strategies focused on the large opportunity within energy transition, building on our strong track record within the space through our flagship fund. And with that, let's move into the Asia opportunity. Next slide, please. As of the start of this year, BPEA EQT is known now as EQT Private Capital Asia having fully transitioned into EQT's global name and brand identity. And we're even more excited about the opportunity set out in Asia today. Macro, demographic and competitive dynamics are all in our favor as we are one of the few players with a global approach and local teams in every major region in Asia. And we also have strong performance across the funds, but also across the different regions. This of course creates exciting deal opportunities. In particular, almost 1/3 of our investments are in India where we built a very strong track record in software services and this year we also acquired India's largest chain of fertility clinics, Indira IVF. Furthermore, Japan is seeing a gradual shift where over time we expect this to be a very important market for us both from a deal as well as from a client perspective. And over the last couple of months we've announced 2 deals in Japan and we expect more to come. We're still in the early innings when it comes to infrastructure and real estate investing in Asia Pacific. Today, around 10% of our infra investments are in the region and the equivalent number for real estate is less than 10%. As we've talked about in the past, we expect this to meaningfully grow over time. And with that, let's move into the fundraising side. Next slide, please. So we continue to be in a challenging fundraising environment even though the denominator effect has abated over the last year as equity markets have come back and clients have started to adjust their asset allocation upwards. However, clients still remain liquidity constrained having made substantial commitments in the recent years while realizations remain low across the market. We, therefore, expect only a gradual improvement in fundraising markets and fundraising timelines will continue to be prolonged across strategies also for the flagship funds. However, there are bright spots. We've seen clients who committed early in the fundraise to come back to increase the commitments as the market has slightly improved. We see large clients investing more and more broadly with us across PE, infra and real estate where our scale and breadth really becomes a real competitive advantage. And also, as highlighted on the previous page, that our clients are very supportive of our development in Asia where we have raised the hard cap of our Asia Mid-Market Growth fund with 40% to $1.4 billion. So looking at our ongoing fundraising activities. As Chris mentioned, EQT X is expected to reach its hard cap at €21.5 billion in February. We've made good progress on EQT Infrastructure VI. As of today, we secured commitments of close to €14.5 billion, up from €10.9 billion at our Q3 announcement. We expect to reach our €20 billion target fund size during 2024. In real estate, in 2022 and 2023 we raised 3 large logistics funds in Europe and U.S. and given the market environment, we have been restrictive in investing this new capital resulting in that we today have approximately $13 billion of dry powder within real estate. Hence, there will be some time before we raise the next round of larger logistics funds. So in 2024, we will mainly focus on our newer strategies such as U.S. multifamily as well as growing our presence in Asia. EQT Nexus is progressing with good monthly inflow and addition of new distribution partners. NAV is today amounting to more than €500 million and as we've previously mentioned, we will continue to scale Nexus over the coming years. Furthermore, we're progressing preparations for additional semi-liquid products with more information to follow during the year. Looking ahead, we expect EQT BPEA IX to be the next flagship fund to be raised. EQT BPEA VIII is today 40% to 45% investment invested with the first investment was done in early 2022 so approximately 2 years ago. As we want to get to 80% to 85% invested before we activate the next fund, we have another 40% or so to be invested. We expect to invest this capital at a similar speed as we did in 2023 where we invested over 25%. Hence, we're looking at an investment period of around 3.5 years for BPEA VIII. And with that, I'll leave it over to Olof and next slide.
Olof Svensson: Thank you, Gustav. As we alluded to in the beginning, private equity deal volumes were down about 40% globally last year. And if you take the IPO volumes, they were down some 30% or actually 80% if you compare to 2021. Yet we've had one of our most active years ever with announced investments of about €19 billion. So if you look at our flagship funds, you'll see that EQT X raised its investment levels by 20 percentage points to be 30% to 35% invested; Infra VI invested about 30% of the fund and is now 30% to 35% invested; and in BPEA VIII, we invested 25% of the fund to be 40% to 45% invested. If you look by sectors: we invested primarily in health care, technology and digital over the year. Less than half of the investments were made in Europe, approximately 1/3 in North America and we continue to see good deal flow across Asia. As Christian mentioned, infrastructure had one of its most active years ever with about €9 billion of investments. And if you look at the larger investments that we did in Infra VI over the years, a few examples would include Heritage Environmental Services, a leading provider of industrial waste management in the U.S.; Laser Logistics supporting the low carbon movement of goods; and Statera, a battery storage platform supporting U.K.'s renewable energy transition. If we turn to real estate, volumes were at around €2 billion for the year. This team saw a continued repricing of real estate assets for most of the year and therefore held off new investments until Q4 when activity levels picked up meaningfully. About €6 billion of exits were announced for the year, a multiyear low. So if we turn to 2024, we think it's likely that we're going to see higher realization volumes compared to 2023. This will include streamlining portfolios, realizing assets in older vintages and we also have certain larger assets who we think are well suited, some of them for public market exits for example. Those deals would naturally depend on how equity markets develop. And if we look back in time, markets never reopen in a straight line. And for public market exits in particular, there are certain execution windows over the years. And we'll also be testing different concepts in private market solutions when it comes to exit activity for the year. Next slide, please. So let's look at how our AUM developed over the years. You see that our gross inflows of €24 billion, they were mainly represented by our flagship fundraisings that was €16 billion of the €24 billion of inflows, €5 million of that related to EQT X and €11 billion to Infra VI. If you look at real estate, the gross inflows amounted to €1 billion for 2023. Net of exits and other effects, AUM grew by 15% whereas the comparable market is expected to have been largely flat in AUM growth last year. And all our AUM growth in 2023 is organic with no strategies having been acquired over the year. Total AUM; which includes fee paying AUM at value, value of non-fee paying co-invests and our dry powder; was north of $250 billion. Next slide, please. Turning to our sustainability efforts. EQT has today supported 29 portfolio companies in setting validated science-based targets and we have another approximately 30 companies who have initiated the process of setting science-based targets. We also think that these efforts in line with our strategic thinking around sustainability will create more resilient and valuable companies. Separately, we're also very pleased to continue to be a constituent of the most prominent sustainability indices globally. And with that, I'll leave it over to you, Kim. Next slide, please.
Kim Henriksson: Thank you, Olof, and good morning, everyone. In 2023, the aggregate portfolio across our key funds increased by about 5% in value. Before going into some of the underlying drivers, let me remind you that: firstly, we are valuing entire companies and assets and this is different to the value of a marginal share in the public equity markets. Our valuations tend to be more resilient and move more slowly compared to public markets. As such, we had largely flat valuations in 2022 despite a 20% drop in global public equity markets. In 2023, global public equity markets were up having rallied in the last 2 months of the year. And over a 2-year time period, global markets are only marginally down. This is in line with EQT's fund valuations where some of our prior vintages, EQT VII and EQT VIII, are slightly down whereas our infra funds are up over the 2-year period. Secondly, in our prior vintages, the value of the realized part of the portfolio does not change. So looking at Infra III for example where a large part of the fund is already realized, the valuation has been flat at 2.7x over a 2-year time period. Third, in our most recent vintages, we're continuously investing and every new investment is added at a gross MOIC of 1x and it's only when a fund is fully invested that you start seeing the full value creation effect. Fourth, we apply a combination of valuation methods. In private equity, it's primarily but not solely public market reference multiples. Of the infrastructure companies, many are also valued on a discounted cash flow basis. Transaction multiples, i.e., the relevant multiple for entire companies and control, can be a factor in valuations where relevant. Fifth, we have a very robust valuation process. Reference multiples are consistently applied over time. And in addition to our rigorous internal processes, our fund valuations are audited twice a year. So let us next look closer at some of the fund drivers in '23. Whilst public markets were higher in 2023 paced by the Magnificent 7, there's a wide distribution in reference multiple for the relevant sectors. In private capital, reference multiples were on average slightly down whereas infra saw somewhat higher multiples on average. Importantly, we continue to see healthy top line and EBITDA growth across the private equity and infrastructure portfolios. In private equity, top line growth slowed somewhat, but we expanded EBITDA margins and accelerated EBITDA growth. Our infrastructure portfolio has remained quite robust over the past couple of years with continued sound performance. About 70% of the portfolio companies in the key funds saw higher valuations. We had a number of companies with largely flat valuations and certain pockets of underperformance. The listed portfolio was down about 10%. This had a negative impact on our overall fund valuations of about 2 percentage points. Turning to real estate. The majority of valuation write-downs were taken already in 2022. In '23, valuations have remained broadly flat or in some cases slightly down. We enter 2024 with a strong portfolio, it's thematically invested and supported by long-term secular growth trends. There are long-term financing structures in place and we're continuously working hard to drive real value creation by building better companies and assets. Next slide, please. And now over to financials. So we grew our total revenue by close to 40% in 2023 and our reported management fees grew 48% year-over-year. And even when adjusting for the full year effects of the BPEA combination, the growth was 20% plus. The organic growth was driven mainly by increased commitments from our latest generation of key funds with some catch-up fees primarily from EQT X. In 2024, we will also see elements of catch-up fees from funds continuing their fundraising into 2024, mainly Infra VI. The muted exit activity in '23 combined with relatively flat valuations is reflected in our recognized carried interest and investment income figure, which decreased approximately 30% on a like-for-like basis from '22. In addition to growing our management fees, the focus on operational efficiencies and continuous scaling has enabled us to further increase our margins, which for the year '23 stands at 54% on a fee-related basis and 58% when included carried interest and investment income. Our adjusted EBITDA figures exclude the noncash charge related to EQT's share and option programs. The effect of the programs will be accounted for as dilution over time. Next slide. We've continued to invest in talent and increased personnel, but as you can see, at a slower pace than in the preceding years. Going forward, select hiring will continue in strategic growth areas and these areas are, as previously mentioned; North America, Asia and in particular private wealth and capital raising generally. From 2024 in order to further increase transparency, we will start reporting also carry based on undiscounted fund valuations so-called mark-to-market carry. The carried interest and investment income definition in the adjusted P&L remains unchanged and is stated post the fund valuation buffer serving as a good indication of midterm expected cash flow. In '23, we received €150 million of cash related to carried interest and combined with our recurring cash inflow from management fees, we have a strong cash position and balance sheet going into 2024. Our robust capitalization is also confirmed by our investment-grade credit rating being affirmed in '23 with a stable outlook. Now over to Chris for some concluding remarks.
Christian Sinding: Thank you, Kim. So to summarize, in 2023 we continued to innovate for our clients with the launch of EQT Nexus, EQRT and a Healthcare Growth strategy and also preparing for our energy transition strategy. We really re-accelerated our thematic investment pace despite market volumes being down while of course exit activity remained muted. We maintained fundraising momentum albeit at a slower pace with the expected finalization of EQT X and Infrastructure VI in 2024. Going forward, we now have an integrated global platform with world-class capabilities to drive transformation and we have an ability to grow both organically in a market which is expected to double by 2030 and double again by 2040 at least and also through acquisitions. In the meantime, we're going to remain razor focused on performance for our clients in driving exits and new deals even as these markets we're in remain a little bit uncertain. And on the next slide, before we start the Q&A, I wanted to invite all of you to our Capital Markets Day that we're going to host in person in Stockholm on the 6th of March 2024, this year. So with that, let's open up for the questions. Thank you.
Operator: [Operator Instructions] The first question comes from the line of Arnaud Giblat from BNP Paribas Exane.
Arnaud Giblat: I've got three questions, please. Firstly, you talk about launching new strategies, particularly healthcare and energy transition. I'm just wondering if you could give us a bit more in terms of the timing and perhaps what sort of fund target sizes you might be looking at? Secondly, thank you for the update on portfolio valuation, that was very useful. I'm just wondering if we could zoom in a bit on the underperforming companies within your portfolios and what sort of markdowns came now? I'm just trying to understand if there's any meaningful downside risk to valuations there. And finally, in the outlook you talk about actively evaluating inorganic growth opportunities. What are the key areas you might be looking at? I mean particularly would it make sense to add a secondary strategy given your push into the wealth channel?
Christian Sinding: Arnaud, excellent questions. On fund sizes, it's still relatively early days. Typically when we're launching new strategies organically, we normally have targets kind of in the €1 billion to €3 billion type of size. But as right now the processes that we go into premarketing discussions with clients; we set the size, we set the hard cap and then we execute on the fundraise. So I think that gives you a little bit of the lay of the land as to how we think about those types of initiatives. We're excited about both of them and we believe that over time both of those strategies, both Healthcare Growth and energy transition, can scale to significant size and become real global strategies. On valuations, do you want to take that one, Kim?
Kim Henriksson: Yes. Maybe firstly, just to be clear, there's no sort of general underperformance in the portfolio. There are certain companies which are in good and bad times that are not performing to our acquisition plan and there's nothing funny about that. I would say that we are taking markdowns on underperforming companies immediately each quarter. If I would know that there is sort of further markdowns to be done, we would have already done them. So the marks we have right now, they are our best estimate of the current value of these companies.
Christian Sinding: And then when it comes to our growth through acquisitions, we have -- if you look at the map of EQT and where we are geographically and where we are in asset classes, that's one area we can do bolt-ons within for example life sciences, which now facilitated the Healthcare Growth strategy. So we can invest in early stage growth and younger companies or medium-sized companies and then of course then also the long term. So we have those kinds of fill-in acquisitions if you could say that. We have of course also a possibility to look at geographic strategies like we have with BPEA, sharpening certain sectors or certain geographies in the world. And the third element is what you mentioned, other strategies that are not necessarily directly related to active ownership but rather distribution and solutions. And we're of course considering all of these. But right now, as you can see, we're driving also those initiatives organically pretty rapidly. And so as we go forward with developing our business, we'll keep you informed.
Operator: We will now take the next question from the line of Oliver Carruthers from Goldman Sachs.
Oliver Carruthers: I've got 2 questions. So if we look at the deployment levels of EQT X and Infra VI, they're both at 30% to 35% and at last year's investment pace, it looks like they could be 2/3 invested by this time next year. When you think about launching the fundraising processes for successor vintages, how important is it to your clients that we see a pickup in exits and cash distribution first before we get there? That's the first question. And then the second question. On Slide 17, you're now showing a fee-related EBITDA margin which is at 54%. We've seen a few of your U.S. listed peers recently make commitments to increase their FRE margins by increasing carry contributions to deal teams and offsetting that by lowering FRE expenses. Is that something that could make sense for EQT at some point or are you happy with the current setup?
Christian Sinding: The question on exits, you have to look at that actually over generations. So if you benchmark EQT, which we of course do in all the dimensions that we can, if you benchmark our strategies against our competition, you'll see that we're market leading in DPI and cash distribution to our investors across almost every strategy and that consistency is what the investors look for. So for a single fund raise, the previous fund generation just before that is not going to be the most important in terms of exits. It's going to be rather the long-term track record of ability to generate liquidity in the portfolio through IPOs, M&A deals, access to financial firms, recaps, whatever it might be. But also of course the importance of driving liquidity is key and that's why we're also trying to innovate and create something like a private IPO where we could continue to own some of the companies and make a market in those companies ourselves. But there's no sort of black or white question. I think what's important is this long-term track record and we have that. On the second question, Kim, do you want to answer that one?
Kim Henriksson: Yes. And I'd say that first of all, important to note that we are solely focused on active ownership. We are not driving AUM, but rather performance driven. And for that type of company, we think that the structure we have with 2/3 of the carry going to the investment professionals and 1/3 to the house approximately is a good and balanced one that we have thought through properly. I'm not ruling out that there over time could be changes to it, but this is how we are working right now with a very well thought-through structure that has served us well and continues to serve us well.
Operator: The next question is coming from the line of Ermin Keric from Carnegie.
Ermin Keric: Maybe first one on exits. So on Slide #6, you showed how much exits have been as a percentage of average fee paying AUM and that one has been jumping quite a bit in the years it's listed. How would you think about that one in a more normalized level longer term? And then the second question would be just on the cost outlook, you're quite clear that you are continuing to have some hiring. But could you quantify that pace, anything in relation to what we've seen more recently?
Christian Sinding: The first question is if we ever had a liquid strategy like a hedge fund or something, that of course we could drive the kind of volume of exits in a different way. But the reality is that we own companies and buildings and we have 10-year capital. So if the exit market isn't conducive, we'd rather keep the companies and drive transformation, innovation, change, add-on acquisitions, whatever the companies need to become stronger, better and more valuable. So if you look at another dimension, which is an important one and if you look at the expectation for our key funds, you can see that all of them still expect to either deliver on plan or above plan in terms of returns. That means that the fundamental value creation of those companies in those portfolios is going to increase over time and thus lead to exits. So if you look at this year for example 2024, we all hope that the exit markets will be more conducive given the elements that I talked about. So we're super well prepared to execute on those, but it's going to be the market that decides. And if the market is highly uncertain, we don't want to put management teams through that full exit process because that's a 6- to 9-month type of execution and it takes time away from driving value. So that's the balance that we have. We're owners of businesses and not just holders of shares and that's the fundamental difference. So hopefully that helps you not quantitatively, but more philosophically understand how we think about it. And then Kim, for the next one.
Kim Henriksson: Yes. On headcount and cost, I'd say that first of all, like Chris mentioned here, we have built one of the world's preeminent deal machines. So we have amazing deal making teams around the globe and I think our platform is also at a very, very good and still improving level supporting that deal team. Will we continue to grow? Yes, we will, but very selectively and sort of not ramping up anything with the exception of certain parts of capital raising and including private wealth then. I'd say the growth we had in 2023 is not a bad assumption for 2024.
Olof Svensson: So I'd suggest you try to limit to 1 question as we go ahead.
Operator: We will now take the next question from the line of Hubert Lam from Bank of America.
Hubert Lam: Since I'm allowed only 1 now. Can I ask you about the progress of Nexus. I think Gustav said that you're currently about like NAV of €500 million. Just wondering can you just talk a bit more about the target around Nexus, the timing and maybe more developments around new partnerships you're getting? Just a little bit more color in terms of the outlook for Nexus.
Gustav Segerberg: Happy to do that. I think in general, as we've said, we have big hopes for Nexus to scale over time. But of course also what we've said is that it will take some time before we're there. So now in the first 6 months, we are at around €500 million or little bit over that in NAV. And I think if you think about that on a monthly basis, I think you will get a fairly good feel for, let's say, the monthly inflows on that basis so to speak. And that of course is something that we hope to continue to drive during 2024 of course as we will also add some new distribution partners to that. So it's going to be a long-term game, but over time it should be hopefully a fairly substantial part of the offering.
Operator: We will now take the next question from the line of Haley Tam from UBS.
Haley Tam: One question, that's going to be hard, if I can then. Could you give us any comment? Infrastructure is clearly a key interesting growth area for you. Could you give us any comment on the BlackRock-GIP acquisition and how you see that might change the competitive landscape for you?
Christian Sinding: And maybe that's why we also mentioned infrastructure. I think if you look at the infrastructure market globally, it's of course a younger market than traditional private equity. We were one of the absolute earliest investors into that market starting back in 2007. We have the third or fourth largest franchise in the world, one of the absolutely best performing. Today, we have our value-add fund, which is €20 billion target and then we're in continuous fundraising of our active core fund, which is a more longer-term strategy, and we're launching an Energy Transition strategy. So a lot of exciting things happening around infra. There are fewer players out in the world so it's more fragmented also than private markets or private equity I mean. And therefore, I think you see now with this consolidation that's happening, which is driven by many, many factors including the fact that there's something like 11,000 private markets firms out in the world and that's probably too many. And as we've talked about before, LPs, our clients, are reducing the number of GPs that they want to work with; reducing the number of managers they want to work with. So there's all these different pressures that are driving capital towards the bigger players like us and some of the niche players in the world. And the other exciting element about infrastructure also is that a lot of the companies need capital to grow, whether it's a data center or renewables business or whatever it might be. So it's a really exciting area and it's helping drive the transition of the world. When I look at this deal in and of itself, I don't think it changes that much competitively. But of course it is interesting to see that the world's largest asset manager is investing into the private markets. So I think it confirms our views that this space in the financial markets is highly attractive for the long term, it's going to continue to grow and has a huge need for capital and a huge opportunity to invest. So we're excited about it and thank you for asking the question.
Operator: We will now take the next question from the line of Magnus Andersson from ABG.
Magnus Andersson: I was just wondering, first of all, you mentioned in Q3 that there's always some positive cyclicality in deal activity in Q2 and Q4. With that in mind, you had quite significant pickup in Q4 here. Should we see part of that due primarily to cyclicality or does it reflect an improved deal environment that could remain into 2024? And on activity just on exits, you guide for potentially higher exit activity in 2024. If you could tell us in what kind of exit environment your reported carried interest for example could fourfold, which is what is implied by current consensus expectations?
Christian Sinding: I'll start and then Kim and Olof can add. Our ability to do deals and new investments is as we talked about. Actually we have deal teams now in 22 countries around the world and in a number of different sectors across all these strategies continuously searching for new investments. So the deal flow is actually always quite strong. The question is when do the right deals go through the funnel and which ones do we win, which ones do we ultimately invest in. That's not a quarter-by-quarter type of analysis. But what we did say if you remember a year ago, we said that we think that 2023 and the environment we're in is going to be an attractive one to invest in. So we of course activated the machine even more to make sure we took advantage of that and that's why our deal volume was up 60% over the year while the market was down 40% and I think that's an important fact. We're probably one of the Top 3 generators of new deal investments in the private markets in the world and that's what we're continuing to build on and the timing quarter-by-quarter is less so. Overall on exits, I think I commented on that, it's hard to know. We're well prepared, but it's hard to know what this year will bring. So I'll leave it at that for me and then I give the word to Olof and Kim.
Kim Henriksson: Maybe I can comment. I guess we can take the exact mathematics offline. But the way I would urge you to think about this is to think about what percentage of carry comes to the house, how big a percentage is carry of the total value created and what kind of size of exits do we need thus in order to create carry assuming we have, say, a 50% or so discount on the assets that are on the book. So that's sort of the step in math that you need to do to get to it. We don't know all of the answers on the value creation side or on how many exits and how much exits can be done during the year. Like Chris just mentioned, we are well prepared and should the market be conducive, there will be more exits. But if not, we have amazing value creation opportunities as well in the portfolio.
Operator: We will now take the next question from the line of Nicholas Herman from Citi.
Nicholas Herman: Just a question that also questions on exits. Just slightly more specific and rather than saying a more conducive market, is that kind of -- are you looking for financing markets to further reopen higher market levels or if markets kind of stay as they are, then you would see the exits you expect? Can you give us an idea of the expected approximate mix of those exits, which as prior IPOs recaps rather in that 6 months of strategic sales? And then just finally on the private IPOs, do you see other managers using private IPOs and is there any cannibalization between private IPOs and LP commitments or do LPs treat those 2 parts separately?
Olof Svensson: Chris, do you want to kick off?
Christian Sinding: Go for it, Olof.
Olof Svensson: On the exit, I mean what is needed and what type of exits are we seeing ahead of us? I think there are differences both across our different strategies and different types of exits. As we alluded to, if you take the real estate market to start with, that was very, very slow in 2023. I think the interest rate environment has a very big effect on whether we see activity levels picking up in that segment. If you think about our ability to do IPOs, I think it's a general market sentiment that needs to improve. The IPO market, as you know, will start off with a few deals. If they trade well, they're priced well, you build confidence in the market; you will continue to see activity picking up in the IPO market. But it's also a market that is subject to windows, right, and a bit back to the previous question on cyclicality over the year. You have a pretty open and clean window in H1, then you have the summer, you will have elections, et cetera, et cetera. So the ability to do IPOs over the year will be dictated by markets and windows. If you look in our assets in infrastructure, they're very resilient assets typically very attractive to a wide number of buyers. I think that's a market that is more resilient when it also comes to exit activity and that's also a segment where we usually have less IPO activity and a higher share of strategic or financial buyers of the assets. And then to your question on private IPOs. It's something that we are innovating in the exact definitions and parameters of what that would look like depends a bit and it depends on the objectives, right? First of all, it must be an ownership model that is good for the company, I think that's a requisite. Then it needs to be a setup that is beneficial to the clients, right, where you can mix and match who prefers liquidity and who wants to hold on to quite an interesting asset for a bit more. It's more about finding that market between different types of owners and different clients in that. So let's see where we end up on that, but that's the principle. Generally if you look back, in private capital about 20% of our exit volumes have been through the public markets and IPOs and the rest have been M&A or financial buyers -- between strategic and financial buyers. I don't think longer term that that changes. But if you think about size of companies, larger companies are typically more suited for the public markets. And some of our exits that we have lined up for this year that were contemplated, they would be suited for the public markets we think.
Operator: We will now take the next question from the line of Tom Mills from Jefferies.
Tom Mills: I just wanted to pick up on Oliver's question on pace of deployments and in particular with respect to Infrastructure VI. Is it really tolerable to be back in front of LPs potentially very soon after doing a final close of that fund and asking them to commit to a VII vintage? And maybe just contextualizing the pace of deployment. Anecdotally it feels like some of your peers have been slowing the pace of deployment in order to delay the need to return to fundraising. I guess your approach seems somewhat in contrast with that. So could you maybe share your thoughts there, please?
Christian Sinding: Good question. I'll start and then Gustav can add to it as well. As we talked about before, if you look at the average deployment timing of EQT, both private equity and infrastructure funds since inception, we're roughly on a little bit over a 3-year type of time frame. In the current cycle I would say that from the first investment or from the activation of the fund which is typically the same time, we're on something like a 3.5-year time frame. And there were 2 periods of time that were kind of off that. One was, let's say, the heated times around the pandemic, which went a little faster which we also said was not something that was sustainable or to be expected to continue. And then during the financial crisis, it was longer. But otherwise, roughly 3.5 years and that's pretty much the time frame that we're on across strategies now. Anything you want to add, Gustav?
Gustav Segerberg: No. I think that gives a good picture.
Operator: We will now take the next question from the line of Jacob Hesslevik from SEB.
Jacob Hesslevik: So the run rate for raising Infra VI was at €2.8 billion for second half of 2023. And regarding your comment that fundraising will continue well into 2024, is there a likelihood that fundraising for Infra VI actually will continue into 2025?
Christian Sinding: Gustav, you want to take that?
Gustav Segerberg: Yes, I think you're right in that it was that for the second half, but it was of course also that for the run rate for Q4 because of course as we said after the first close, there is often a, let's say, quiet period and that of course has now picked up again. So the run rate in Q4 was the €2.8 billion. And then in addition to that, in the first weeks here of January you have another €0.8 billion taking it to the €14.5 billion. So I think what we've said and what we are saying is that we expect to reach the target fund size of €20 billion in 2024. So that is what we're planning for.
Operator: We will now take the next question from the line of Jakob Brink from Nordea.
Jakob Brink: Just basically back to sort of the same question not the previous one, but the one before that on fundraising in flagship funds. So correct me if I'm wrong. But as far as I recall, EQT X was initiated in the first investment in August '22. I think you said in your introductory remarks that also BPEA VIII was started in '22 I think in September and then Infra VI in December '22. So with 3.5 years, that would put them sort of into '26. But can you do all 3 flagship funds in the same year or how should we look at that, please? And did I hear you correct when you said that BPEA IX would be the next flagship fund you would raise?
Gustav Segerberg: Maybe I can take that. I think you have maybe the dates a little bit wrong. So what we say is that BPEA VIII where the first investment was in January '22. So that will then with 3.5 years take it to, let's say, end of Q2 or thereabouts with a 3.5-year cycle. And I think what we're then saying is I would say that EQT X was started approximately 6 months later and Infrastructure VI was another 6 months later. And I think, as Chris alluded to, we're looking at around 3.5 years for all 3 funds. And right now, I would say let's say the deployment speed in Infrastructure VI and EQT X is maybe a little bit quicker than what we have for BPEA VIII. So I think that should hopefully give you a pretty good sense of when we think right now that we will activate the fund. That of course doesn't mean that that's the same time as when we will start the fundraising. But from a fee generation point of view, I think that's a good mark of how you should think about it.
Operator: We will now take the next question from the line of Angeliki Bairaktari from JPMorgan.
Angeliki Bairaktari: Just maybe a question for me on the Capital Markets Day in March. At the time of the IPO, you had set some growth targets. If I remember correctly, AUM growth to be above the industry and a range in terms of the EBITDA margin and also a range in terms of the carried interest and investment income. Shall we expect you to sort of give us an update on those sort of numerical targets or shall we expect any sort of changes in terms of strategy?
Christian Sinding: Kim, do you want to take that?
Kim Henriksson: Yes. You're absolutely right in that we set financial targets at the time of the IPO in terms of growth, in terms of margin and also a dividend growth statement. The others were more sort of guidance to give you a sense of how the financials hang together. Those former financial targets that we've given, they are still very valid. We have delivered on them and continue to do so. We will probably discuss them at the Capital Markets Day and to the extent those would be changed, that would be a separate press release and a separate discussion point then. So for now, they are very valid and something that we are working with. And you asked about strategic changes as well. The strategy is firm and in line with what Chris has mentioned already here at the early parts of this call.
Christian Sinding: Did that answer your questions?
Operator: We will now take the next question from the line of Nicholas Herman from Citi.
Nicholas Herman: I thought enough questions just gives a little bit of time because I have a couple of follow-ups if that's okay. Just a couple of hypothetical questions. Just one, could you please disclose the level of catch-up fees in the second half? And then secondly -- and then the second question, please, was on -- I'm sorry, that was the question.
Christian Sinding: Kim?
Kim Henriksson: Yes, the catch-up fees during 2023 was €30 million and in H2, that was €17 million if I recall correctly.
Nicholas Herman: So €17 million, is that right?
Kim Henriksson: Around €20 million, say €30 million for the year as a total.
Nicholas Herman: So for the second half then, that then implies that the run rate or recurring management fees of about [1,016, 1015] what have you or [€1.1 million] of management fees. On average fee paying, that implies a recurring fee rate of just shy of 160 basis points. How do I reconcile that to the 142 basis points recurring fee rate that you disclosed in the report, please?
Kim Henriksson: It's a balance sheet fee calculation actually. It's the year-end AUM per fund and the respective fee that we have in each fund that is weighted to provide the effective management fee rate. But very happy to follow-up separately, Nicholas, and we can go through some of the details and modeling related aspects of that.
Operator: Thank you. There are no more questions. I would like to hand back over to the speakers.
Christian Sinding: Thank you. Thank you for excellent questions. We tried to sharpen them today with little bit fewer. Hopefully, that was helpful to make sure we hit the hard and important ones. Thanks for starting your day with us and have a great remaining end of the week.
Kim Henriksson: Thank you.